Operator: Good morning ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to Banco Macro’s First Quarter 2013 Earnings Conference Call. We would like to inform you that the first quarter 2013 Press Release is available to download at the Investor Relations website of Banco Macro at www.ri-macro.com.ar. Also this event is being recorded and all participants will be in a listen-only mode during the Company’s presentation. After the Company’s remarks are completed, there will be a question-and-answer session. At that time, further instructions will be given. (Operator Instructions) It is now my pleasure to introduce our speakers. Joining us from Argentina are Mr. Jorge Pablo Brito, member of the Executive Committee; Mr. Guillermo Goldberg, Commercial Deputy General Manager; and Mr. Jorge Scarinci, Finance and IR Manager; and other members of the Bank’s management team. Now, I will turn the conference over to Mr. Jorge Scarinci, Finance and IR Manager. You may begin your conference.
Jorge Scarinci: Good morning and welcome to Banco Macro’s first quarter 2013 conference call. Any comment we will make today may include forward-looking statements which are subject to various conditions and these are outlined in our 20-F which was filed to the SEC and is also available at our website. First quarter 2013 press release was distributed yesterday and it is also available at our website. Banco Marco is one of the leading private banks in Argentina, with a strong presence in the interior of the country and a branch network of 428 branches. Even though, we are a universal bank, we focus on low-to-middle income individuals and SMEs. Banco Marco is a financial agent of four provinces in Argentina, Salta, Jujuy, Misiones, and Tucuman. I will now briefly comment on the Bank’s first quarter 2013 financial results. Banco Marco’s net income for the quarter was Ps.457.9 million, or 41% higher than the Ps.323.8 million earned one year ago. The Bank’s annualized first quarter 2013 ROE and ROA of 28.4% and 3.7% respectively remains healthy and shows the Bank’s earnings potential. In the quarter, net financial income totaled Ps.1.2 billion or 31% higher than the Ps.892 million registered one year ago. This performance can be traced to a 31% year-on-year increase in the financial income, and a 31% year-on-year increase in financial expenses. Within financial income, interest on loans rose 33% year-on-year due to a 25% growth in the average loan portfolio, and a 111 basis point increase in the average lending interest rates. In the first quarter of 2013, the interest on loans represented 86% of total financial income, compared to 85% in the first quarter of 2012. On the other hand, net income from government and private securities decreased 13% year-on-year, due to lower income from government securities, which was justified by a smaller average portfolio of these securities. Meanwhile, within financial expenses interest on deposits grew 29% year-on-year due to a 24% increase in the average volume of deposits and a 67% increase in the average time deposit interest rates. The former combined effects resulted in an increase of the Bank’s net interest margin from 11.6% in the first quarter of 2012 to 12.9% in the first quarter of 2013. And we excluded bond days and warranty loss on the calculation, the Bank’s net interest margin would have widened to quarter of 13.2% from last year’s level of 11.7%. The Bank’s net fee income grew 18% year-on-year, based on fees on deposits including checking and savings accounts, debit and credit card fees and other fees. Administrative expenses rose 28% year-on-year, mainly due to an increase in personal expenses and higher other operating expenses. The increase in personal expenses can be traced to 23%, annual average salary increase with the union back in May 2012 and due to the provision for the 2013 future salary increase. The cumulated efficiency ratio reached 50.9% similar level in 50.6% both in the first quarter of 2012. As of March 2013, Banco Marco’s effective income tax rate was 38.7%, compared to 40.6% registered as of March 2012. In terms of loan growth, the Bank’s financing to the private sector grew 5% quarter-on-quarter and 29% year-on-year and on which commercial loans for our productive investments have been included. Personal loans and credit card loans also grew during the quarter. On the funding side, total deposits grew 8% quarter-on-quarter and 19% year-on-year. Private sector deposits grew 7% on a quarterly basis and private sector deposits also grew 11%. Within private sector deposits are increase in peso deposits of 8% was observed, while foreign currency deposits slightly decreased. As of March 2013, Banco Macro’s transactional accounts represented approximately 44% of total deposits, and therefore the Bank’s average annualized cost of funds was 8%. In terms of asset quality, the Banco Macro’s non-performing to total financing ratio reached 1.72% from last year’s level of 1.57%. The coverage ratio reached 156.2%. In terms of capitalization, Banco Marco’s accounted an excess capital of Ps.2.5 billion, which represented a capitalization ratio of 20.2%, despite the despite the new capital requirement regulation were applied. The Bank’s aim is to make the best use of this excess capital of course. The Bank’s liquidity remains healthy. Liquid assets to total deposits ratio reached 32.7%. Banco Marco accounted for another positive quarter. We continue showing a solid financial position. Asset quality is under control, and closely monitored. We continue working to improve more our efficiency standard. We got one of the cleanest balance sheet in Argentina’s banking sector, and we keep a well optimized deposit base, which is one of the lowest cost of funds in Argentina’s banking sector. So at this time, we’d like to take the questions that you may have.
Operator: Thank you. (Operator instructions) Our first question comes from Alonso Aramburo with BTG Pactual. Please go ahead.
Alonso Aramburo – BTG Pactual: Hi, good morning. Thank you for the call. I have one question regarding the NIM. It’s been expanding consistently the last few quarters. Just wondering what your expectations are for the rest of the year, if you think that trends can continue or as you see a little bit more of stable NIM going forward?
Jorge Francisco Scarinci: Hi, how are you, Alonso? And regarding the rest of the year, we are seeing stability in the margin, basically when we talk about stability that plus or minus 50 basis points around the 12.9% or 13% level that we have. But that is our forecast for the rest of the year. We are not seeing the NIM expanding a lot, not even decreasing stability for the rest of 2013.
Alonso Aramburo – BTG Pactual: Okay, thank you for that. Can you give us a sense of how you’re moving your asset yields on your loans? Have you been repricing those? I mean what we’re seeing is a little bit higher than the previous quarters, I mean is that a trend you are seeing in the market or how are you seeing those moving?
Jorge Francisco Scarinci: Well, that’s basically depending on the needs on our assets. And I think that in previous quarters, we usually have a bit more of liquidity outstanding and then we move to other financial instruments like maybe a bit more of sovereign bonds in pesos with variable rate and also more personal loans in the needs of our loan portfolio. So that is also something that might put the asset yield of loan yields upwards.
Alonso Aramburo – BTG Pactual: Okay, thank you. Can you remind us this year expectations you have for wage increases?
Jorge Francisco Scarinci: Well, season for wage increases are taking place in this month. I don’t know exactly when they are going to fees. But our feeling is that the percentage will be between 20% and 22% in salary increase approximately.
Alonso Aramburo – BTG Pactual: Great, thank you.
Jorge Francisco Scarinci: You’re welcome.
Operator: Our next question comes from Chris Delgado of JPMorgan. Please go ahead.
Christopher Delgado – JPMorgan: Hi, good morning. Just given the growth there in Argentina, I wanted to get a sense in how asset quality will evolve this year? You guys have kind of seeing an increase across 2012 and it’s kind of stabilized this quarter? Just want to get your thoughts now.
Jorge Francisco Scarinci: Hi, Chris, how are you? Since last year we were crossing some slightly deterioration in asset quality that mainly because the maturity of below that we will extend in 2011, we’re going to take place in 2012 and 2013 plus, the deterioration in economy that we were forecasting. I think that Banco Macro has been doing a great job in terms of keeping a close eyes on – in asset quality. We will continue to that this is one of the main goals of the Board of Director of Banco Macro. Going forward, we expect this flat deterioration to continue, but of course at reasonable levels. We are not seeing a spike in terms of deposit loans. But the performance is going to be tight to the performance of the economy ranking. So going forward, we’ll continue to see this slight deterioration. But again management levels and of course we have a very attractive and high coverage ratio if you take configuration about the potential increase in deposit loans.
Christopher Delgado – JPMorgan: Okay, so that’s 10, 20 basis points, the trends are right there?
Jorge Francisco Scarinci: Would at be this year?
Christopher Delgado – JPMorgan: This year, yeah.
Jorge Francisco Scarinci: Yeah. Honestly, we have to quantify that in 10, 12 basis points a quarter at the end of the year, the trend is slightly upwards.
Christopher Delgado – JPMorgan: Okay. Great. Thanks.
Jorge Francisco Scarinci: You’re welcome.
Operator: (Operator Instructions) Our next question comes from Luis Guzman with Santander. Please go ahead.
Luis Guzman – Santander Investment Securities Inc.: Hello, good morning; thank you for taking my question and thank you for the call. I would like to ask a question regarding the development of dividends and required to allocated loans from SME interest to meet the consumer, last year we were talking about it and regulatory imposing high requirement in order to pay dividends and also to require opportunity of the funds to be allocated into loans and I would like to ask if this was already allocated on the loans and what’s your expectations for dividend?
Jorge Francisco Scarinci: Hi, how are you? Well, the first part of question in terms of expanding loan to the SME and also incorporates basically through the regulation of the Central Bank put – applying first 5% of private sector deposit that will due in December 2011 and 2012 and the additional 5% of private securities deposit that will due in June 2013. Yes, of course we are complying with that. Of course, we complying with the 35% and we are in the growth, extending loans to comply on the limit that is going to be established or that will be due in by June 2013. Yes and of course those loans are included in the first quarter and balance sheet that we released yesterday. In terms of the dividend, again the tougher regulation established by the Central Bank two years ago, they are or they continue in place. Honestly going forward, we don’t know if those regulators are going to be change. But of course, Bank’s in Argentina need more than a 75% excess over the required capital to pay cash dividend. For the moment, we do not get to that level. We are at a level of 59%. But of course the idea of Banco Macro is to work towards that target and to pay dividends as soon as possible. But we are working on that direction. We still don’t know where we are going to be above the 75%, maybe next year, maybe the following, but still don’t know.
Luis Guzman – Santander Investment Securities Inc.: Okay. Thank you very much.
Jorge Francisco Scarinci: You’re welcome.
Operator: Our next question comes from Arthur Barnard with Zel-Tech Asset Management. Please go ahead.
Arthur Barnard – Zel-Tech Asset Management: My question has been answered. Thank you very much.
Operator: (Operator Instructions) I’m showing no further questions at this time. I would like to turn the conference back over to Mr. Jorge Scarinci for any final considerations.
Jorge Francisco Scarinci: Okay. Thanks everyone for your interest in Banco Macro and have a good day. Bye-bye.